Operator: Good morning, ladies and gentlemen. Welcome to Exchange Income Corporation's Conference Call to discuss financial results for the three months period ended March 31, 2015. The Corporation results include MD&A and financial statements were issued on May 12 and are currently available via the company's Web site on SEDAR. Before turning the call over to management, listeners are cautioned that today's presentation and the response to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian Provincial security laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the risk factors section of the annual information form, and Exchange's other filings with Canadian Securities Regulators. Except as required by Canadian security laws, Exchange does not undertake to update any forward-looking statement. Such statements speak only as of the date made. Listeners are also reminded that today's call is being recorded and broadcast live via the Internet for the benefit of individual shareholders and other interested parties. I'll now like to turn the meeting over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, Mr. Pyle.
Mike Pyle: Good morning. Thank you, operator. Also with me today is Ted Mahood, our CFO, and Carmele Peter, our President, who will discuss our financial results later on in the call. We are very pleased with the record results we generated in the first quarter as it was the most EBITDA generated in any single quarter in our history, which is especially impressive when you consider that the first quarter is typically our weakest given the impact that winter conditions have on our performance, particularly on our northern airlines. Our strong results provide clear validation that approximately $500 million worth of transaction we completed over the past several months and the efforts to restore more diversity and more profitability to your operations have not only worked, they have worked very well. Our business model being disciplined and diversified while delivering dependable dividend has proven itself again. This effect is best reflected by our key financial metrics for the quarter. Consolidated revenue grew 38% to $174 million. Consolidated EBITDA grew 73% to $31 million. Free cash flow grew by 87% to $24 million. Free cash flow less maintenance CapEx grew by 526% to $9 million. And our payout ratio declined from 600% last year to 109% this year. I should point out that because of the first quarter weakness we virtually always have a payout ratio in excess of 100% in the first quarter. This is surpassed in subsequent quarters where they are seasonally strong [given] [ph] our payout ratios are much lower. That being said, the payout ratio of 109% in this year's first quarter is amongst our best ever. Our performance gains were largely driven by the strong contributions made by Provincial Aerospace in its first quarter since acquisition. A dramatic improvement in the profitability of our Legacy airlines and a continued growth at Regional One. What maybe surprising for most of our shareholders and followers is how well our Legacy airlines, namely Bearskin, Clam Air, Custom Helicopters, Keewatin and Perimeter. Although their revenues were largely flat from last year, their profitability gains were considerable. Combined EBITDA grew 58% to $12.4 million. Regional One additionally continued to grow its portfolio and generate more EBITDA. I should point out that fuel costs weren’t the only factor behind this. We have invested significantly over past years in new infrastructure and new equipment. We have optimized flight schedules and streamlined operations, particularly at Bearskin. Each of these efforts was a contributing factor to our record EBITDA in Q1. Regional One continues to exceed our expectations. It experienced strong demand in Q1 for its aftermarket parts and services from regional carriers around the world. The company continues to expand its portfolio of aircraft related assets available for sale or lease, including the fleet of 12 Bombardier CRJ 700 aircraft it announced to purchase from Lufthansa CityLine near the end of 2014. I should point out while we have now taken delivery of five of these jets, there is no revenue or EBITDA from these assets in the first quarter. Returns from leasing and/or selling this portfolio of aircraft is expected to commence in the second quarter that will continue for several quarters thereafter. We initially acquired Regional One to diversify our operations and enter new markets. More strategically we bought the company to offset costs that we incur with our Legacy airlines for parts and equipment. Regional One continues to consistently identify and monetize opportunity that generates strong rates of return on invested capital. This rate of return on invested capital remains at an average of 19% since acquisition. The strategic benefits of its acquisition grew in Q1 asset sales which were in U.S. currency, offset some of the impact of the decline of the Canadian dollar which negatively impacts our aviation results. Provincial's performance in Q1, it's first since we acquired, also exceeded our expectation. While the company scheduled flight services in its principal markets in Atlantic Canada were impact by extremely harsh winter weather condition for most of Q1. Revenue from its aerospace division and fixed base operations were strong. Provincial's diversified structure which brings together scheduled flight services together with aerospace services and fixed base operations into a single entity was a major reason for its acquisition. Acquiring provincial's maritime surveillance operation was particularly compelling. This line of business focused on protecting the borders and offshore assets from a number of risk factors. With the world becoming more and more complex, we believe that demand for Provincial's sophisticated technologies at outsourced services can only grow. I have personally witnessed the growth prospects for Provincial first hand at a recent defense conference in to the United Air [banner] [ph]. There I was able to meet with customers including the UAE Air force which uses aircraft modified by Provincial to patrol the Persian Gulf. This opportunity gave me a better appreciation of the challenges that our customers face and how Provincial is well positioned to address them because of its experience, relationship, quality of its offering and the caliber of our management team. A strong performance in Q1 was not without challenges. Most of our manufacturing segment entities experienced soft product demand due to a multitude of factor. Firstly, the volatility of prices in the oil and gas sector impacted Alberta operations. Secondly, WesTower Canada customers faced temporary supply issues that affected the supply and delivery and installation of towers by WesTower. While the issues with the oil and gas sector are expected to continue for the foreseeable future, results at Stainless and at WesTower are expected to normalize over the balance of the year. Overlanders is expected to remain strong. But as our consolidated results show, we have never been better positioned to withstand such challenges and embrace new opportunities. Our success is due our business model. It works. It's why we devoted considerable to getting back to our fundamental. Being diversified, being disciplined, and delivering dependable growing dividend to our shareholders. It's also why we ended Q1 with a strong balance sheet and are well positioned for future growth. I will provide more commentary on our outlook and prospects for growth through 2015 in my closing remarks but for now I would like to turn the call over to Ted who will review our Q1 financial performance in greater detail. Ted?
Ted Mahood: Thanks, Mike and good morning everyone. Before I begin I would like to point out that our results are presented with discontinued operations due to the sale of WesTower U.S. Results for the current quarter and comparable period are presented in a consistent manner without contributions from WesTower U.S. Of course, the discontinued operations for the current period are nil with the disposition in Q4 of last year. I should also remind everyone that WesTower Canada which we retained as part of the divestiture transaction, is presented within the manufacturing segment of the MD&A. Turning now to our income statement. Consolidated revenue for Q1 was $173.9 million, up 38% from last year. The growth was mostly due to the contributions made by Provincial, our most recent acquisition which we closed on January 2 of this year. Revenue also grow as a result of the strong performance by Regional One, our subsidiary that focuses on the sale of aftermarket parts and engines for the aviation sector. In Q1, Regional One grew it's revenue by $8.3 million. Our revenue growth in the period was partially offset by declines experienced by the manufacturing segment entity, particularly our Alberta operations which saw softer demand for their products as a result of the economic slowdown associated with the drop in oil and gas prices. On a segmented basis, the aviation segment generated $133.5 million in revenue, up 70%. The manufacturing segment had revenue of $40.5 million. This was down $7.2 million or 15% from last year. While the split in our revenue by segment appears to be skewed towards the aviation segment, it's important to put this in perspective. Revenue from our legacy airlines was largely flat in Q1. The segment's growth came largely from the additional of Provincial and increased sales and leasing revenues by Regional One. In other words our aviation segment is in itself diversified. The scheduled airline operations in Northern Canada, fixed base operations at multiple locations, worldwide part sales and aircraft leasing and aerospace operations around the globe. As a result of these diversified revenue streams, we are not overly reliant on any customer or geographic region. Consolidated EBITDA for Q1 was $31.1 million, up 73% from last year. The growth was due to a number of factors. Most notably it was driven by the contributions made by Provincial which generated $10.1 million in Q1 and the improvement in our legacy airlines which experienced EBITDA growth of 58% to $12.4 million on flat revenue. Contributing factors to these gains include previous investments in growth CapEx initiatives, lower fuel costs, the restructuring of Bearskin Airlines and other efficiency initiatives and a return to more traditional weather conditions than was the case in 2014. On a segmented basis, the aviation segment increased EBITDA by 109% to $31.2 million. It's EBITDA margins were up to 23.4% from 19% last year. The manufacturing segment's EBITDA was $2.8 million, down from $5.3 million as a result of the reduced revenue. We reported net earnings of $934,000 or $0.04 per basic share for Q1 2015. This compares to a net loss of $350,000 or $0.01 per basic share in 2014. Adjusted net earnings for Q1 2015 were $3.7 million or $0.16 per basic share. These compared to an adjusted net loss of $169,000 or $0.01 per share per basic share for 2014. In calculating adjusted earnings we exclude acquisition cost, the amortization of intangible assets and other non-operating onetime items. Adjusted net earnings is defined in the MD&A. Turning now to our other key financial metrics. Free cash flow totaled $23.9 million, up 87%. Free cash flow on a per share basis was $1.04 of 76%. Free cash flow less maintenance CapEx was $9.1 million or $0.40 per share, up 526% and 471% respectively from the comparative period which had $1.5 million or $0.07 per share. A significant improvement to our cash flow metrics were, they were negatively impacted by higher cash interest charges and higher cash taxes. Consistent with our strong performance across most financial metrics, our payout ratio in Q1 improved from 109 -- improved 209% from 600% in 2014. More than anything this lowered payout ratio reflects the cumulative effects of the steps we have recently made to diversify our operation and strengthen our profitability. The first quarter is always the weakest seasonally, principally because of the impact of winter weather and the availability of winter roads on our northern airlines. The 109% payout ratio for the current period is a dramatic improvement over the prior periods first quarter payout ratios which have averaged 215% for the 2011 to 2014 fiscal years. A further sign of the dramatic improvement in the payout ratio for the trailing -- is for the trailing 12-months which shows an improvement to 89% at March 31, 2015 versus 107% at year-end for the company's continuing operations. Turning now to our balance sheet. We ended Q1 with a net cash position of $68.3 million and net working capital of $142.4 million. This represents a current ratio of 1.92 to 1. These figures compared to net cash position of $15 million and net working capital of $95.8 million or a current ratio of 1.93 to 1 at December 31, 2014. The increase in the cash balance in the first quarter over the comparable period is attributable to the delays experienced in harmonizing Provincial's banking into EIC's centralized banking system where cash balances are swept and applied against outstanding debt as well as higher cash balances in our U.S. subsidiaries resulting from our international currency strategy to not expatriate funds which will be employed in future operations. Cash levels are expected to return to historical norms in the second quarter. The company early redeemed its series I convertible debentures at the end of the first quarter through the use of available funds and its $450 million credit facility. Including cash but excluding the impact of foreign exchange, the company has approximately $200 million of funds available. During Q1 2015 the company invested $22.2 million into growth capital expenditures. The majority of this related to the purchase of CRJ 700 aircraft in Regional One and the remainder for ongoing avionics upgrades in Legacy airlines aircraft. This concludes my review of our financial result. I will now turn the call back to Mike for some closing remarks.
Mike Pyle: Thanks, Ted. As you have heard, we ended Q1 with a strong balance sheet. Flexibility to support our organic growth target as well as to capitalize on acquisition opportunity. We are very bullish in the near-term outlook. In the aviation segment, winter seasonality factors are now largely behind us. This will result in higher demand for cargo and scheduled passenger services for our legacy airlines. Custom Helicopters in particular is expected to see a return to normal levels of demand for its fire suppression services given the normal spring we experienced in most of Manitoba and North Western Ontario thus far. We also expect Regional One to sustain its momentum given its extended portfolio or aircrafts including the CRJ 700 acquired from Lufthansa CityLine that are now available for sales, for leasing or for parting out and sale as individual parts. The prospects for Provincial are also encouraging given the number of opportunities around the world for its maritime surveillance as well as search and rescue services. Demand for scheduled airline services should also return to historical norm given the winter conditions in Atlantic Canada have finally passed. In our manufacturing segment, the prospects are improving. But will likely be modest through the balance of the year given the instability of the resource prices and in particular crude oil prices which will continue to negatively impact our Alberta operations for the balance of the year. WesTower, however, continues to see strong demand for cell tower construction and installation and in spite of delays in receiving certain equipment required to complete the project, demand is expected to increase across Canada in the balance of the year. Over the longer-term, we remain very committed to growth through disciplined acquisition. With access to approximately $200 million of capital we will take advantage of acquisition opportunities that meet our criteria and allow us to further diversify our operation. The divestiture of WesTower U.S. in the fourth quarter of last year and the acquisition of Provincial at the beginning of Q1 were the two largest transactions we have ever completed. It required a significant amount of discipline to complete and this approach will carry us forward into the future. As we have learned, we will succeed when we follow the fundamentals of our business model, our targets will need to be very specific criteria. They have to operate in niche markets, generate strong cash flow and have excellent management teams. If nothing that meets our criteria is found, we will not do a deal for the sake of doing a deal. We have good organic growth opportunities within our existing portfolio to fuel our growth. Thank you very much for listening and I will now like to open up our call to question. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Trevor Johnson from National Bank. Please go ahead.
Trevor Johnson: Just looking at Provincial, wondering if you can give us a sense of under normal weather conditions, what the quarter might have looked like? If you have any input into that thought.
Mike Pyle: You could have seen a swing of 10% in its bottom line. Though the weather is a double-edged sword. It was very difficult on our schedule of operations because we lost a number of flying days. But conversely the fixed base operation did pick up some because we sold a lot more de-icing fluid than we normally would have sold in that period. So on a net-net, the weather hurt us but it wasn’t any massive difference.
Trevor Johnson: And in terms of your internal expectations, still tracking as plans even with the weather headwind in Q1?
Mike Pyle: Yes. Forgetting about the weather, the performance of Provincial was ahead of our internal budget.
Trevor Johnson: And I know when you acquired them just because of being on the East Coast and there is a little bit of sensitivity, just concerns like particularly in the media about you guys coming in as kind of [indiscernible] conglomerate. How has the integration gone? Have people embraced the EIF model and just curious if you have any thoughts on that?
Mike Pyle: That’s a really good question actually, Trevor. One of the things we are most excited about is we are working within our airlines on a number of initiatives to be able to import best practices and do things for one -- the individual airlines. And we have begun at our Newfoundland location to start to do our overhauls for our other airline. So within all it was six weeks of completing the transaction. Our first heavy overhaul, I think the first of it was being done for Perimeter [showed up] [ph]. And the plane was overhauled on time under our internal budget and the internal budget was materially below the external budget. So we created a fan in our Perimeter base and in fact it was such that they were done so early that we left the plane in Newfoundland for a while because they had a need for it. Perimeter could do without it for a while. So we are sharing that asset. And shortly following that [com fluid] [ph] behind with one its ATRs. So we are now doing overhauls of those there as well. So there is always apprehension when somebody new buys that they are going to come and change it. And I think I can safely tell you that the folks of Provincial have seen more work as a result of the acquisition and that’s created excitement there.
Trevor Johnson: Just in terms of your Alberta operations, tough, obviously in the patch right now. Is there any way to rationalize things or can you just kind of hunker down or is it kind of just go as you see fit going forward?
Mike Pyle: I mean it's not universally down. There is some parts like agriculture where we sell equipment to which are reasonably strong. The bottom line is this isn't the first cycle we have gone through. It's the third time we have gone through this since we have bought the company. And our management team there is really good at sort of right sizing our team within the process and maintaining margins. One of the things we don’t do in a down market in Alberta is all of a sudden reduce our historical margins and go chasing extra sales. It doesn’t change the number of people buying. And we have a strong market position there. So we will simply reduce our fixed cost as much as we can and wait it out because it will return. There is only so much oil in the ground and Alberta will be fine.
Trevor Johnson: Have you reduced any of those fixed costs in Q1 or is that kind of a preliminary step now?
Mike Pyle: We have done some of it in Q1 and there is probably a little more coming in Q2. It actually started as early as Q4. The gross margins we are maintaining in spite of the higher U.S. dollar -- highest dollar, which increased their parts cost, we have been able to maintain our margins and we are happy with how it's performed. The macroeconomic environment just isn't that exciting.
Operator: Your next question comes from the line of Mark Neville from Scotiabank. Please go ahead.
Mark Neville: You have taken delivery of five of the CRJs, the Regional Ones. So can you maybe just help us think about revenue contribution, I guess starting Q2. And then I guess as a follow up, I guess, it looks that the investment was classified as growth capital. So I guess we are thinking it's probably going to be lease sort of implications for margins as well.
Mike Pyle: Yes. We have taken five of them. We bought them -- I will start on a general basis. The investment thesis that the vast majority of the aircraft would be parted out. [Flight lease] [ph] engines but there wasn’t going to be a lot of whole aircraft transaction. Demand in the market place has been higher than we originally anticipated and as such, at least at the beginning of the process you are going to see more of them go out as full aircraft. Out of those first five I think we would expect that two or three of them will be under lease during this quarter, perhaps as many as four. Once currently being disassembled to go into our parts inventory and as a couple of more come we actually have some markets where we may actually turn and sell some of them. So at this point in the cycle, a lot of changes on the time depending on customer demand. I think you will see an impact, our lease revenue in Q2 and we will see some part sales in Q2 and you may even see some aircraft sales later in Q2 or Q3.
Mark Neville: And just, I don’t know if you can maybe give us a sense of magnitude for that. It's the revenue contribution [in this ] [ph], again I am just trying to think how big it could be.
Mike Pyle: That’s pretty competitively sensitive market. But if you work backwards off of what we are paying from original press release to get the value of these planes. And I think we said in our document that what kind of EBIT returns we are generating, our return on capital. So I think if you were to take the numbers that are already out there, you could come up with a reasonable gap.
Mark Neville: Sure. I guess just in the legacy business. A lot of sort of moving parts benefits in the quarter. I am just curious as to how big the impact from fuel savings were? I guess we are thinking it's a couple of million bucks but just curious on that.
Mike Pyle: We don’t calculate it exactly that way because we have changed what we are doing and there is more and less flying. A couple of million dollars probably isn't far wrong. But one of the things I really want to make sure people understand is how dramatic that improvement is. We have generated just about $12.5 million in EBITDA in those legacy airlines this year. Last year it was $7.8 million and included in that $7.8 million was a gain of a $1.3 million on damage to aircraft that we sold to the insurance company. So in terms of core operations we basically doubled the EBITDA out of the legacy airline. And that’s from -- fuel is clearly a part of it. A return to like normal weather, so it's not minus 40, minus 50 everyday in the far north was part of it. But most important was the investments we made in rationalizing our fleets, building ground assets. And then putting in new management initiatives that drove higher margin. That’s the proof that’s in the pudding that those investments were sound. So your question of why is that a growth cap investment, why is that -- well, we have got quarter-over-quarter increases of almost 100% in that performance. Now having said that before people run out and extrapolate that into Q2, Q1 is -- it's a lower quarter and it was up against more challenging comps because of the bad weather last year. My other point simply is that there is considerable upside from previous year's performance in the region or airlines because of the investments in the changes we have made there. And the programs we are working on, like I mentioned earlier about overhauling or own aircraft and coming charter opportunities and those kinds of things, should grow that further in the future.
Mark Neville: Okay. And in PAL, I was thinking a really strong quarter but I guess or think in Q1 again is seasonally the weakest. I guess is that so correct and then as margins or margin percentages -- again as Q1 sort of the seasonally weakest as well.
Mike Pyle: No. We have to break it into two pieces. If you look at aviation to the flying part, so the northern one has exactly the same attributes as our existing business. Our existing legacy airlines. When you look at the aerospace, that’s really not driven seasonally. It's a little bit random depending on when certain jobs close but it's not a seasonal business. And that’s why when you look at PAL, we said we were buying that off of sort of a $45 millionish EBITDA number. 10 is sort of in line for the first quarter and you would expect the other quarters to be higher. It’s not as big a delta because aerospace is a more flatter seasonal cycle where is there aviation business is exactly the same cycle as say Perimeter comp.
Operator: Your next question comes from the line of Mona Nazir from Laurentian Bank. Please go ahead.
Mona Nazir: Good morning. Congrats on the quarter.
Mike Pyle: Thanks, Mona. We are excited.
Mona Nazir: Okay. So just turning to Regional One, we saw some very strong growth there. I am just wondering if there were any large transactions in the quarter that drove the revenue, i.e. maybe a higher proportion of engine sales. And do you expect such significant growth going forward, especially from the legacy Regional One, not inclusive of the Lufthansa fleet.
Mike Pyle: No. There weren't any particularly large sales. We didn’t sell any whole aircraft or anything like that. It was the -- the part sales were slightly ahead of our internal forecast but our lease revenues were slightly behind our forecast. So Regional One is really just more of the same. It's hard for me to tell you what we are going to do next quarter because we could just as easily lease an aircraft to a customer or sell it to them. And all of a sudden in one case they get a lease payment of a few $100,000. For the other one I make an $8 million sale and make a $2 million margin. That changes so much quarter-to-quarter. I think the key thing to look at Mona is, if you look at the growth. If you chart out what we are kicking out of that business and EBITDA on a quarter-by-quarter basis, it's consistently growing. And I would suggest to you that growth will be put on steroids with the access to the Lufthansa CityLine aircraft. And whether they are leased which will have a smaller impact in a current quarter to our bottom line but a longer-term impact to the return on capital, but where they are parted out and sold which has a more dramatic short-term impact. The outlook in both cases is very good.
Mona Nazir: Okay. Thank you. And then in last call you spoke about some opportunities on the Provincial Aerospace side. Just wondering if you could speak about the North Fixed Wing Search and Rescue aircraft program with the federal government. I have read the program is expected to span anywhere up to 20 years. Is there a long lead-time. When is the decision expected, this year or next year? And is there a lot of front-end work attached to it? Are you having to invest a lot of resources to even get to the current point and beyond?
Mike Pyle: That’s a lot of good questions. Fixed wing SAR, this is something that the government has tried to bid several times over the last 20 years. And this last version of it, a lot of work went in to make it into a true RFP where more than one aircraft would qualify and so that the government would have a series of alternatives. There is a number of criteria involved, not limited to simply the aircraft but the risk of the manufacture, how much of it's done in Canada. So it's a very complex process. And we believe that being part of, paired with Airbus, we would be one of the two or three strongest bidders. We are confident in our -- in the platform we can put forward between the aircraft that Airbus will deliver and the adaptations of the equipment we can put in and we believe we will be state of the art. The bids are expected in this fall before an election date and then the government is sort of committed to get back to us next spring or next summer with an answer. Typically these things don’t go as fast as expected and it's very difficult for us to say whether the fall election could have an impact on that. If there were a change in government, all parties support the need to do this. The government is supplying [buffer] [ph] of aircraft that are 60-70 years old and they are not effective. And so it's in everyone's best interest that this project move forward as quickly as possible. Having said that if there is a new government, could that slow the process, it could but not necessarily. In any event, we will be investing a few million dollars over the next 12-months in this bidding process. And expect that we will have an answer sometime in 2016.
Operator: Your next question comes from the line of Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi, thanks for taking my question. Just a point of clarification on WesTower. It sounds like your guiding towards some of that revenue that was pushed out due to the delays being deferred into the second and third quarter. Just want to confirm that’s how I should be interpreting it. And if you could let us know what was the EBITDA contribution from WesTower Canada in the first quarter as well, that would be helpful.
Mike Pyle: I don’t have the number exactly in front of me. I believe it's just over $0.5 million was the EBITDA contribution which would have been down about that amount from last year. It was about half of last year's number. And, yes, we are guiding you that we believe over the balance of the year that we will still generate in WesTower what we expected to. When we are going to gather this change a little bit. We are busier now in Q2. I would describe it as we were busier now in Q2 and we are up to sort of our expected levels. I think we will make up that ground that we lost in Q1 a little later in the year. So I am thinking the end of Q2 and into Q3 and then in the first half of Q4. The second half of Q4 is typically slow in the tower business but with Huawei providing a lot of the radio equipment, there has been a shortage of the equipment. And if you don’t have the equipment you can't put the tower out. And so we were scrambling to keep our crews busy with other work. We are starting to see the beginning of that shortage subsiding but it's not fully dealt with yet. So while the Q1 was clearly disappointing for WesTower, it's not in any way from our point of view a trend or a disappointment with the business. It was just the timing of certain projects that didn’t line up very well for us. And we anticipate benefiting from that later in the year.
Kevin Chiang: That’s helpful. And then just my second question here on PAL. It looks like you do some in-sourcing. You all do some in-sourcing there and it looks like your revenue, if I annualize what you did in Q1 is running a bit harder than the revenue numbers you had disclosed when you acquired PAL. Just wondering, now that it's being folded into the EIC family, what opportunities you see there to driven that topline further given your bigger balance sheet. And then maybe any margin lift you got as you maybe find some of these synergies, for example, with the in-sourcing I imagine there must some sort of margin lift there based on some of your earlier comments.
Trevor Johnson: Yes. I mean it's more complicated than just PAL, Kevin. You are bang on, that there is margin opportunities here. The easiest thing to explain is we have in-sourced our overhaul. But that’s a bigger issue than just they did Perimeter's Dash 8 overhaul this spring. We can schedule those things and we move in comps and then we are going to start the [gat] [ph]. Where in the old days they would have used some contract employees and those kinds of things to cover where there is more demand. We are going to make that to a more old group of employees and then we will start to fill in those gaps with project planes from Region One so that we could bring. Whether we buy aircraft and overhaul them and then resell or buy them overhauled and put them into our fleet as opposed to just parting them out. It will also be greatly affected a year from now when we find out about fixed wing SAR, because a massive part of that business is the MRO. The maintenance organizations are required to maintain those aircraft. We will have a significant facility somewhere, we will then be able to dovetail our internal work into that making it even more fresher. Beyond that, Perimeter and PAL will fly similar Dash 8 fleet. We have gotten into sharing aircraft, sharing expertise, common training. A bunch of things which we are going to drive our back end costs down. We are not lining up our front-end. There is still going to be individual airlines with individual CEO teams. But anything that we could put together in the backend whether in sourcing the engines, overhauling the engines, buying our consumables, will all drive down our cost. And frankly you could see a bunch of that in the statements this quarter. Our revenues are flat and our EBITDA is way up. And the only way that happens is if you take costs out of the system. And see more of that not in the next quarter or two but in the next year or two as we implement these programs.
Kevin Chiang: That’s a lot of great color there. And then maybe just lastly from me on your legacy airline business. Just trying to get a sense of some of the weakness in the resource space. You know how that’s impacting the top line growth there. Has it plateaued or things looking like they may be getting worse or maybe they are getting better. If you could comment on that, that would be great?
Mike Pyle: Well, I would describe resource stuff in the areas we are in. There is a little -- there is some active projects in [indiscernible], like the run by Agnico-Eagle, which are unchanged. They are running the way they are supposed to and we do some work for them. The rest of the areas we are in is a little bit northwestern Ontario and it shows signs of life but the rest of it -- it doesn’t exist right now. It's not getting worse because you can't do less than none. And so there is upside. There are projects that they are trying to finance. And we will see growth. There is no downward pressure to our numbers as a result of this. It's fully reflected already. The one shining light probably in our Manitoba business will be Manitoba Hydro's new Keeyask dam which is un-equivocally going to create demand to move people and workers up to get them from Winnipeg.
Operator: [Operator Instructions] Your next question comes from the line of Mona Nazir from Laurentian Bank. Please go ahead.
Mona Nazir: Just had one quick follow-up. Just given the PAL acquisition is new. Is everything at planned or as expected with the acquisition, i.e., has there been any surprises either positive or negative.
Mike Pyle: The results of the company have been largely in line with what we have expected. I could tell you the greatest positive surprise was lied in the fact that how easily the airlines have started to work together. And like I say, the movement of our overhaul stuff into PAL has been seamless. And the fact that they are already sharing assets. Perimeter leaving the Dash 8 there and to help them cover over a busy period when we did need it. Those kinds of things are huge in creating a sort of overreaching brand with a series of regional brands underneath it. I would say that the ability of subsidiaries to work together has exceeded our expectations and it's exceeded it materially.
Operator: [Operator Instructions] There are no further questions. Mr. Pyle, I will turn the call back over to you.
Mike Pyle: Given there is no further questions, I would like to thank everyone participating in today's call. It was great to be able to speak to you about the tremendous progress we have made in the first quarter. I look forward to updating you on our progress in coming periods and hopefully we will see some of you over at our AGM later this morning. Thanks for participating and have a great day.
Operator: This concludes today's conference call. You may now disconnect.